Operator: Good day and welcome to the Gray Television's First Quarter 2015 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Hilton Howell, President and Chief Executive Officer. Please go ahead.
Hilton Howell: Thank you, operator. Good morning and welcome to the first quarter 2015 earnings call for Gray Television. I want to thank all of you for joining us. As usual on the call with me are Jim Ryan, our Chief Financial Officer and Kevin Latek, our Senior Vice President for Business Affairs. We will each have a few brief comments to follow up on our press release that we put out this morning, after which we will take questions that you may have. Obviously, we are extremely pleased with our results this quarter. As we laid out in this morning's press release, Gray reported record first quarter revenue, record broadcast cash flow, record net income, record retransmission consent revenue, we completed a successful secondary equity offering, which leaves us with close to $0.25 billion in cash in the bank, which effectively reduces our leverage and frees up dry powder to grow our Company. We announced two acquisitions, the CBS and Fox stations in Twin Falls, Idaho, and a CBS Fox affiliates in Presque, Maine. We expect to close on these transactions in the third quarter. We also launched NBC Universal's TV Everywhere offering of local NBC linear streams on our 24 NBC affiliated stations. And on April 22, we announced that we have launched five of our CBS stations on CBS All Access, expanding this new subscription video on-demand and live streaming service to mid-sized college markets for the first-time ever. Our record revenue this quarter hit $133.3 million, increasing by $42 million or 46% over the first quarter of 2014. We reported $0.10 per outstanding share in net income and achieved free cash flow of $0.37 per share for the quarter. We quite simply could not be happier with our results and with that I'll turn it over to Kevin Latek.
Kevin Latek: Thank you Hilton. Just like our last few earnings call, we are proud of the financial results we announced today. I wish to take a few moments to address a few other results as well as the opportunities ahead. First, as Hilton mentioned we announced two high-quality acquisitions in recent weeks; March 12, we announced the Twin Falls CBS and Fox, and on April 23, the CBS and Fox in Presque, Maine. Both cases, we will be acquiring dominant legacy television stations that perform exceptionally well by every measure. We are honored to be entrusted with these local institutions. Both acquisitions are on target for closing as soon as July. Both transactions should be immediately cash flow accretive. Second, you will recall that on the day of our last earnings we announced that Gray had become the first affiliate group to enter into a TV Everywhere agreement with NBC. And as Hilton mentioned, and our press release reiterated on April 22, we announced we had also launched five of our CBS affiliated stations on CBS All Access, CBS's subscription video-on-demand and live streaming service. Gray's launch of the CBS product expands the Direct-to-Consumer service for the first time in a mid-sized market including four university cities. We are excited to partner with both of our major networks on their digital streaming initiatives and to do so simultaneously and quickly. We do not know whether the preferred approach to mobile delivery of consumers will be TV Everywhere or Direct-to-Consumer, or some combination of both. Still, it is important for Gray that we explore both of these approaches with our network partners and learn with them what works best in mid-size and small markets that we serve. Finally, as you now, our successful equity offering in late March has provided with significant capacity to pursue additional accretive transactions in the near to medium term. Before and since that offering, we have been engaged in a number of discussions with owners and operators of high-quality television stations that both match our culture and offer opportunities for growth. No transaction, however, is imminent today. In part that's because we intend to maintain our commitment to growing the Company in a prudent manner. As our investors all know, Gray has been built over the past two decades with careful, patient, and opportunistic transactions. Consequently, a number of times in recent months, we have made a difficult decision to end our efforts to acquire high-quality television stations when valuations exceeded the prudent levels that we believe are appropriate for our Company. Thus, despite our increased bandwidth to make deals, we're not going to just spend the additional capital recklessly for the sake of increased sale. Once again, it is quality not quantity that works best for our business model. Now I'll turn the call over to Jim Ryan. Thank you.
Jim Ryan: Thank you Kevin and good morning everyone. I'm going to keep my comments brief and focus actually on the combined historical information that's in the release, since I think that's most comparative year-over-year with the acquisitions from last year. Again, as Hilton said, we were very, very pleased with the quarter, it came in as we expected. Our total net revenue on a combined historical basis was up 10%, both local and national we're up 2%. We were very, very pleased with that rate and it's actually what we have said in our guidance given that between the absence of the $5.1 million of Olympic revenue that was in 2014 and combining that with the Super Bowl revenue uptick because of NBC versus Fox in 2015/2014, we still had about $4 million hill to climb of non-recurring revenue. So we were very pleased with the strength, the core strength in local and national given the very tough comp we had to last year. Also, we are very pleased that our broadcast operating expenses, while they were up 12% or $9 million, actually reverse comp with CBS kicking in for the first time in 2015, the reverse comp was up $11 million on a combined historical basis. So actually, our core expenses excluding reverse comp were actually down and we're working hard again in second quarter and try to keep the core expenses as tight as we can make it. Again, briefly commenting on the categories that were mentioned in the release. Really, we kind of expected auto to be down slightly going against again the strong Olympic numbers from last year. We actually though saw a lot of strength on a relative scale in furniture and appliances and home improvement. Those two categories tended to offset the other things a little bit and kind of thinking about the quarter, it kind of strikes us, especially in the Northern markets, it seems like a lot of people stayed inside in a harsh winter, painted wallpaper and brought new furniture but we were glad to see strength in those categories. Turning ahead, briefly to our second quarter guidance, again, on a combined historical basis, we think our overall revenue will increase 5% to 7%. We think local will be probably in the 5% to 6% with national somewhere in the 3% to 5%. The quarter is tracking as we expected it to be so far and we are pleased and if you recall from our fourth call, we said that you know we had a strong, a lot of Olympic comp to go against in Q1 that we thought Q2 would be picking up as obviously you can see in our guidance it is. And then, obviously as we get into especially Q4, we would expect local and national to pick up again with the - offsetting the very intense political from last year. Turning briefly to the balance sheet. As our operating cash flow as defined in our credit agreement was $205.5 million that's on a trailing eight-quarter average basis, which left our calculated leverage ratio under the credit agreement at 5.85, which is down from Q4's number. And as Hilton mentioned, at the outset, if you net all the cash on the balance sheet, our leverage ratio would be at about 4.9 and we're very pleased to see that where it is. Total debt at the end of the quarter was $1.231 billion. The Capex for the quarter was $2.8 million; we expect $20 million to $25 million of Capex this year. We only had $240,000 of cash taxes in the quarter. We'd expect for the full year that's going to run a few million dollars but nothing terribly significant. Program payments for the quarter were $3.6 million. I think for the year that will run around $15 million and the amortization was about the same at $3.6 million and should run in the $15 million to $16 million for the year. Again, our retrans revenue came in at $36.3 million. Our total network reverse comp was $17 million, which left us on a net basis of $19.3 million. Those numbers are about what we expect and we still for the full-year as we had said in our fourth quarter, we expect total retransmission revenue to be in the $148 million range with reverse comp around $70 million with a net number to us of about $78 million. At this point, Hilton, I will turn the call back to you.
Hilton Howell: All right, thank you, Jim. Operator, if we could open it up for any questions.
Operator: Certainly. [Operator Instructions] We will take our first question from Aaron Watts with Deutsche Bank.
Aaron Watts: Good morning, guys.
Hilton Howell: Good morning, Aaron.
Aaron Watts: Couple of questions for me. I guess, first, as you rolled through first quarter and you now kind of proceed through the second quarter, have you seen kind of month-to-month gradual improvement in the advertising environment or has it been more choppy? And I guess as you move from 1Q to 2Q, what's kind of driving the improvement that you are seeing?
Hilton Howell: I think in general, the improvement is - I mean, as what we expected, certainly Q1, we knew we had a tough comp from last year with Olympics. And again, Q1 came in where we expected. We also expected things to be picking up in Q2 on a relative basis. So I think it’s basically up kind of a - I would say, a reasonably broad based advance. I do think at least on some initial numbers we are seeing for the quarter, it may be a little choppy, not significantly but a little. It looks to me like - actually in second quarter April and June on a relative scale might be a little bit better than May, but we will see how everything goes out. But again that’s - I wouldn’t describe that as being massive swings between the quarter, just kind of a relative basis so far.
Aaron Watts: Okay. And is it your sense that more money is starting to come into the local markets, at least for television? Are you taking share from others? How would you describe the growth you are achieving?
Hilton Howell: We think, we are taking share from other medium. We may in certain markets be taking some share as well from the television competition. But I think we are picking - still picking up share from prints. I think generally again, the markets across the board are reasonably healthy in local. And I don’t mean, my use of the word reasonably is a negative at all, I think we are viewing this right now what we will see in the first half of 2015 was looks like a - I would describe it as a perfectly normal off election year and we are very happy to see what we are seeing.
Aaron Watts: Okay. And last one for me. Kevin, you were talking about the opportunities, you were reviewing as you move ahead here. Is the plan to leave the cash kind of on the balance sheet? I think you have around $28 million that is slated for probably the acquisitions you've already announced. But any plan to pay down debt with some of that cash or you want to keep the dry powder for acquisitions?
Jim Ryan: Kevin, if you don’t mind, I’ll take a part of that and you can finish it off. Aaron, I think in the immediate short-term, as we said I think very clearly, even when we did the offering in the road show, we said we would put the cash on the balance sheet for the very immediate future, and see what developed on an M&A front, and Kevin can certainly comment on that a little bit further. Certainly, as we go forward in time, if we are not able to deploy the cash quite as quickly as we would like to, we may end up paying down some debt on that to avoid negative carriage on it. In the immediate short-term, we didn’t want to be in a situation where we basically paid down Term Loan B only to turnaround and pay a fee to get Term Loan B back out. So, we will continue to monitor that, but in the - for a while it doesn’t really cost us very much to put it on the balance sheet.
Aaron Watts: Understood. Thanks for the time.
Hilton Howell: Thank you, Aaron.
Operator: Our next question comes from David Hebert with Wells Fargo Securities.
David Hebert: Good morning, everyone. Thanks for taking the questions. Maybe just start with a housekeeping for Jim. You gave the eight-quarter leverage. Just wondering if you can provide a pro forma LTM EBITDA, and what the leverage profile looks like from that perspective?
Jim Ryan: The LTM operating cash flow number would be about 234, that’s obviously a pro forma number, 234.5. And an LTM leverage not net would be about 5.3 and if you net it all the cash, it’s - bear with me, I got to look at the right spreadsheet just a second. Hey, it’s about a five times on a - if you net all the cash.
David Hebert: About five times? Okay, got it. And then your Internet revenue was down for the quarter. And I may have missed any commentary in the press release around that sector. Maybe if you could just talk about how you're viewing that piece?
Jim Ryan: It was down slightly. We’ve had very growth in our Internet revenue over the last couple of years. You’ve heard us talk about on many calls in the past are really great growth we had in our MomsEveryday vertical, which is a vertical that’s centering on women and family issues. I think this year is going to be a little bit of a regrouping year for us in our Internet revenue. Keep in mind that Internet revenue is all organic, it is - we are deriving that off of our television websites. We don’t have any digital businesses. So that’s all organic and I think given the success we have had over the last couple of years, this year will end up being a little bit of a regrouping year. We think Moms still has growth potential in it, it’s developing that more, it’s also continuing to develop other products that we offer on the web and kind of position ourselves for more growth next year and the years to come.
David Hebert: Okay, thank you. And then on the M&A front, do you guys feel like, ahead of the incentive auction that the conversations have slowed down a little bit? Or is there still a lot of chatter kind of going on beneath the surface?
Kevin Latek: Hey, this is Kevin. I think the auction is something that’s interesting and relevant to people who for the most part have TV stations that would have a higher value in the auction and they would have as an operating business. This is a revers auction, so the party who is first going to take a bid to exit the business is going to be generally the weakest station in the market. And, in our markets, the type of stations that we are looking where want to own the Number 1 and Number 2 station by definition that means there is going to be somebody who is Number 3, and maybe even somebody is number four, five or six. So if the auction gets to that market in terms of spectrum demand, there is going to be other people who will be more interested in taking the auction bid, and exit at that point. So I think the general matter, it’s pretty safe to assume that the TV stations that are waiting for to find out how much money they are going to make in the auction are not the kind of TV stations that Gray is interested in acquiring.
David Hebert: Okay, very helpful. And then last one for me and I'll let someone else jump in. A lot of talk, on the radio side at least, about programmatic. I'm just curious how this impact - this evolution impacts Gray and the broadcast TV industry in general. Thank you.
Hilton Howell: Jim, you might add to that. Programmatic means, it seems to mean something different to everyone who asked for that question and certainly the buyers and the agencies and sellers all seem to have different views on it as well. As a general matter, we are certainly looking at ways to make the purchase process more electronic and more automated, but we are not going to commoditize our product. So I think at this point, programmatic is a general sort of vague term. They have a slightly negative or sort of positive impact on us depending on how it’s implemented and what exactly it is that we are talking about, but we are not seeing this as a cloud over the industry or a great nirvana coming either. I think it plays within the margin, especially given that international is such a small part of our business. Jim, do you want to add anything on that?
Jim Ryan: No, I think you said it well Kevin.
David Hebert: Thank you.
Hilton Howell: Thank you.
Operator: [Operator Instructions] And we will hear next from John Ha with Wells Fargo.
John Ha: Hey, guys. I've got a few questions here. How should we think about core as you comp against the World Cup? Are you seeing some of that money come back? And is that part of what's driving core strength in your Q2 guide? Thanks.
Jim Ryan: I don't think World Cup was all that big of a thing for us last year. So it's not as relevant I don't think for us. I mean we are just seeing again it looks like it's going to be a reasonably good second quarter for non-political year.
John Ha: Okay, perfect. And then, you guys talked a little bit about Internet, but can you maybe talk directionally as to how profitable the Internet business is currently?
Jim Ryan: Our Internet business we have about a 50% margin on that revenue stream.
John Ha: Okay. And then, last one for me. Any update as to where you guys stand in relation to some of the newer OTT products that have been announced? Thanks.
Hilton Howell: Sure. In the broader sense, OTT in the broadcast space is only product which is CBS. CBS announced we were in the first group of folks that signed the participation agreement little over a month ago. We launched five markets just couple of weeks ago, we are the first group to get the CBS All Access into mid-size and small markets and we are moving forward with that. In terms of complete third-party linear services, Apple, Sony and other things that are being discussed, those are seemingly still being discussed with respect to the largest markets which mean primarily network owners, not Gray. I think we will probably get approached about OTT retrans in the coming future, but at this point none of the OTT operators have come to us and that's actually - I don't think it's a surprise. We've got to figure out how to get the networks, how they are going to approach this and then the larger affiliate groups will have to figure out how to approach it as well. So we are a little bit down the line when the OTT guys will come to Wichita and Omaha and Fargo.
John Ha: Okay, perfect. Thank you. And nice quarter by the way.
Hilton Howell: Thank you.
Jim Ryan: Thank you.
Operator: Next we will hear from Barry Lucas with Gabelli & Company.
Barry Lucas: Thanks, and good morning. I have several as well. Jim, I think you've kind of passed previously on target leverage, but with cash on the balance sheet and potentially some deals that may or may not be in the hopper, if we were looking out a year or two years, where do you think you'd like to come out on leverage? And how would that affect returns of cash to shareholders?
Jim Ryan: Barry, I think first of all we are - again if you just net the cash, right now it puts us at about a 4.9, that's certainly within the peer group. I think, in general, the peer group is running call it low 5s to somewhere into the 4s. We certainly would see that number going into the, I'd say, the middle 4 zip code this year, by the end of the year. And certainly next year with political, absent acquisition, assuming you pay down debt, it's easy to imagine a number well into the 3s. Certainly as we made very clear about, we still want to acquire and grow so long as we can acquire high-quality stations and have that growth on a prudent basis. So I think a year or two down the road, as that part of our plan plays out, I think you can see our leverage running basically with the peer group. And if the peer group is still, call it, low 5s to somewhere in the 4s on average, we'd probably be somewhere in there depending on when the last acquisition was made and how big it was. If the peer group ultimately over time goes down a little lower, we would probably try to follow them as well. We worked off a little hard to get to this point and while we, for some acquisitions, we certainly could have the leverage ratio a little bit above 4.9, we worked off a little hard to finally get down with a little leverage ratio that runs with the peer group and I don't think we want to go back to being an outlier, so we will kind of run with the pack I would expect.
Barry Lucas: And in terms of implications for return of cash to shareholders?
Jim Ryan: I think, first of all, Hilton I think made some comments to that with the Q4 call or the Q3 last year and he can certainly speak to that a little bit. I think the company has made it clear that in the near term with the acquisitions or the desire to acquire, that's probably not going to happen immediately, but as we move through time and execute on that plan, it certainly becomes a greater likelihood. I can't speak for the board, but certainly we had a long history of shareholder returns prior to the recession and I'd certainly think at an appropriate point in the future there would be a return to that.
Hilton Howell: Yeah, I will - this is Hilton, Barry. I reiterate that maybe something that our board gives a lot of thought and attention to and it is something that we want to return to. And to be able to return to paying a dividend. But right now we have a number of transactions and we'd still like to bring our leverage ratio down and so we are just going to take it quarter by quarter and see how successful we are post this equity offering in terms of running the company and then at the appropriate time, I think our board will be willing to reinitiate our dividend and also a stock buyback program.
Barry Lucas: Great, thanks so much. Just one more for me. Jim, could you just refresh us on the other upcoming affiliation renewals and what impact that might have on kind of the net retrans over the next -
Jim Ryan: Actually we are in excellent shape there, Barry. And there is a - in our investor presentation and we just updated it and reposted with the Q2 - I'm sorry, Q1 data in it and that's available on our website, but our CBS affiliations are all out for August of 2019. Our NBS and ABC are out to the end of 2018. And our Fox, what we would characterize as a standard three-year deal with Fox, out to mid-'17. And keep in mind, we only have 10 Fox affiliations and they tend to be in our smallest markets. So when you think about CBS, ABC and NBC, we are out on a long term basis. We will have renegotiated 100% of our subscriber base before we have to sit down and renegotiate with the Big Three. So we think we are in a very good place there and in our investor presentation, it's slide 14, we've laid out and this was - we did this at the end of - in our Q4 call but we laid out guidance on retrans for '15, '16 and ‘17 based on the contracts we renewed at the end of last year. And so we are in a good shape. We expect our net retrans to be increasing sequentially starting at around $78 million in '15 and then increasing sequentially in '16 and '17.
Barry Lucas: Great. Thanks very much, Jim.
Operator: Moving on, we’ll hear from Lance Vitanza with CRT Capital Group.
Lance Vitanza: Hi, guys. Thanks for taking the question. And I apologize if this was covered; I've been jumping between calls here. But I wanted to talk a little bit about spectrum. And some operators are of the opinion that the spectrum that they own is just so critical to their business model, there's no way that they would part with it. If anybody is going to be supplying data services with the spectrum, it should be them. Others have, I think, taken somewhat of a more pragmatic view. And if there's a way to continue with insured high levels of broadcast quality, then why shouldn't we look to participate in an incentive auction? Can you refresh my memory and let me know where does Gray stand with respect to this?
Kevin Latek: This is Kevin. The overall answer is we don’t see any opportunities or likelihood that we would participate in the spectrum auction in terms of sharing or surrendering any channels. We don’t have any redundant stations, we don’t operate JSAs in large congested markets. So, first of all, there is not a simple answer. We have an independent or MyNetwork in Atlanta, for example, that would be a likely candidate for the auction. So, first of all, our markets tend to be smaller and typically outside the places where the FCC has identified a strong spectrum need. Even in places where they have identified a spectrum, a real spectrum need not just simply assigning random numbers in the Greenhill report to TV stations in faraway places, but places that are along the board are primarily - again, we operate the number one station in those markets. So, if there is - when the FCC auction comes to Flint and Toledo and Rockford, for example, about then stations - each of those markets we are the number one or number two station and there is guys who are lower ranked and we are operating businesses that are not as profitable as we are. So, in terms of channel-sharing and exiting the business and participating the auction in those kinds of markets is just not something that we ever see the value getting to where we are. The FCC is not looking to kick - not looking to clear all the TV stations in Rockford or all the TV stations in Toledo. They want one or two and there is seven or eight already. So, it’s - it would take a whole series of crazy assumptions to think that the people who have marginal TV stations, I don’t mean marginal, but stations that are not as profitable and successful as ours, for some reason are now participating in the auction and then the number just gets driven up where it becomes interesting for us. So, as an overall matter, all of our stations are valued as a going concern higher than any estimate that the spectrum auction would throw off.
Lance Vitanza: So, if I'm hearing you right, the best suppliers of spectrum are those that are less profitable, and you guys are obviously not in that position? Sort of a high-class problem, I suppose?
Kevin Latek: Correct. I mean, I would say - and in terms of channel-sharing, we were out there quickly with multicast channels. I think Gray was certainly one of the first stations to even put a Big Four on a multicast channel. We’re running nearly 80 multicast channels today, we have a 60 plus percent margin on those multicast channel. So, we’re already using our spectrum up in essentially every market where we think it makes sense. And so, the idea of sort of sharing spectrum with somebody and giving up half our spectrum to someone else doesn’t make a lot of sense when we’re already controlling our own destiny, controlling the way that our station operates, making the bandwidth allocations we think are appropriate and profiting from that. So, not to say - obviously, we never say never, we just don’t see any opportunities for us to participate in the auction. That said, the TV stations in our markets do channel-share and exit, there is going to be assets that are left behind, programming assets such as network affiliations, some hard assets, probably some good talent perhaps in a few places. And so, there will be opportunities for us to benefit from the auction by picking up, we think, additional program streams and additional assets that would be otherwise abandoned. For example, if there is a particularly weak ABC affiliate in one of our markets and that guy takes the auction bait and leaves, ABC is still going to want an affiliate in that market and we think that looking across our markets that ABC’s first phone call would be to Gray and say, would you like to pick up the ABC affiliation on your digital channel, which we would almost certainly say yes. So, our opportunities are not through the auction directly. Our opportunities are what’s left in the market after the auction that clears proper number of TV stations that are clear.
Lance Vitanza: And just so I'm clear on this last point, the - while it may be - while it may not be permissible for you to buy your way into a Big Four duopoly, what you just described is more of just a re-affiliation and that's not something that the FCC can block, or would block?
Kevin Latek: The FCC regulates the transfer of full-power TV licenses, not the regulation of programming agreements. In 16 of our markets, we have two Big Four stations - two Big Four channels already and we do that through a digital multicast. So, the primary channel maybe an ABC and then a multicast channel would be, for example, Fox or some markets may have, for example in Laredo, we have NBC on the primary channel, we have ABC on the secondary channel and we have Telemundo on a third channel. So, NBC gets high-definition, ABC gets as much high-definition as our encoders will support and then Telemundo gets a standard definition signal and that obviously varies based on the markets, but in 60 markets, we’re already doing exactly that. We’re already operating multiple program streams because it’s just simply not enough TV stations in these markets. And our markets typically don’t have eight or ten TV stations from which the networks can choose.
Lance Vitanza: Right. And are those multicast streams - are those typically distributed via cable, satellite, telco TV as well?
Kevin Latek: Absolutely. If you want our primary channel, you have to carry our multicast channel.
Lance Vitanza: Thanks very much, guys.
Jim Ryan: And as a further note, in our retrans, if we get paid for all Big Four channels, we broadcast. So, if we have two Big Fours in the market, we’re being paid two different - two fees, one for each channel, so we get full credit and retrans for those Big Four digitals, secondary channels.
Lance Vitanza: Got it, thanks.
Operator: Next, we’ll hear from Tracy Young with Evercore.
Tracy Young: Hi, can you hear me okay?
Jim Ryan: Yes.
Tracy Young: Okay, great. I have two questions. One was related to auto. I noticed in your pro forma for Q1 that auto was pacing - was down 1%. Are you seeing improvement in that in second quarter? And then my second question is just on your guidance for expenses for corporate and administrative down $3.5 million. Is that going to start to lap - sorry, I guess, in which quarter would that lap? Thank you.
Jim Ryan: As far as auto, again, it being down slightly in the first quarter really didn’t surprise us. It was, I think in part going against our Olympics from last year. Also, I’m sure the weather up north especially had some influence on auto during the quarter. Yes, second quarter is looking better. It, right now, it’s looking like it’s in a plus single digit territory, call it 3% to 5%, 4% to 5% right now. So, we think it’s fine. Tracy, could you repeat the second part of your question?
Tracy Young: Yeah, just looking at your guidance for expenses, you said that you expect a reduction of $3.5 million for second quarter in corporate overhead. I'm just wondering if that laps, should we expect that going forward in the year or when that laps.
Jim Ryan: No, that’s mostly - that’s deal fees from last year that we’re getting them benefit from, because we had a lot of - when we closed Hoak in second quarter last year, we - a lot of our deal fees hit in that quarter. So, we’re going against - that’s what’s dropping out. So, I think the run rate you’re seeing in the number is about the run rate for the year. It’s just that we’re not going to continue to cycle against a lot of deal fees. There will be some benefit on deal fees in Q3, because we had a little in SJL, but it was not nearly as much as Hoak.
Tracy Young: Got it. Thank you very much.
Operator: [Operator Instructions] And next, we'll hear from Marci Ryvicker with Wells Fargo.
Marci Ryvicker: Thanks. I have a high-level question. You reported results and gave guidance today that was better than expected. Disney reported this morning their broadcast segment really outperformed. So, it feels like broadcast in general is probably healthier than we've seen in a really long time. And then you compare that to what some of the regional cable companies reported with advertising down. So the question is, are you seeing a share shift from maybe cable or any other media into broadcast television?
Jim Ryan: We probably are a little bit, Marci. It's a little hard to say from cable, we certainly - and our markets are always trying to move dollars from the cable pie over to our side and we certainly I think are still benefiting from print and moving share there, not as dramatically as a few years ago, but I think it's still moving too. So I mean, we would agree with you that based on what we’re seeing so far and the commentary from our managers, as I think I phrased it earlier, it seems like this year so far is off to being a perfectly normal non-election year and we're perfectly happy to have a year like that.
Marci Ryvicker: Got it. And do you have any expectations about the upfront? Or any thoughts on how the upfront might impact at least national advertising at your stations, if at all?
Jim Ryan: Our opinion has always been that the upfronts have virtually no impact on our business at all. If it has any impact on national, it's almost indiscernible. I mean, the upfronts are, obviously it’s the networks and the big advertisers going back and forth, but that really doesn't have a bearing in our markets in Lexington or Lincoln or Reno.
Marci Ryvicker: All right. Thank you very much.
Operator: Next, we will hear from Jim Goss with Barrington Research.
Jim Goss: Thanks. I was wondering, first, about the - well, I think it's encouraging that you are participating in the NBC and CBS TV Everywhere and All Access type programs. I was wondering if you could talk a little more about the economic model you expect to have from them? Do you think your reach will be something you can reflect in your ad rates? Or is there some other way you might have an impact? And are there - a number of companies have started to establish presence - increasing presence in some of the traditional Gray-type markets, the smaller markets with state capitals and college towns and that sort of thing. And then look at businesses that might be related to the existing business that could be some - provide some ancillary economic impact in those markets. I wondered if you had any things like that in mind as well?
Kevin Latek: Let me see if I can, the first one, it can be answered by saying, we are at the mercy of Nielsen to provide ratings and Nielsen has told CBS and CBS has told the affiliates that the online viewership for CBS All Access and I believe we will see similarly for TV everywhere, it will be included in ratings, whether that's a - that happens by this November book or if it's going to be early next year, I can't guess. We are expecting to see rates, online viewership included in the ratings which again would allow us to monetize a little bit better. Although we don't typically sell our local ads based on number of impressions or - and the like, we are a local business driven a little more by type of station we have and in our overall package than we are on to specific numbers of people watching even our newscast that are online today. So we do see - there is a monetization opportunity there. I'm not sure it's great in the near-term, but it should be enough to offset the cost of experimenting with these types of online streaming services. Second question, I'm not sure I fully understood, but if you're asking are we looking at any ancillary businesses in our markets, the one ancillary business that we have begun is called LocalX, which is a digital services business where we have an outside vendor who has allowed us to white label digital products like SCO and website design, et cetera and we do - we have just recently started that business up. Beyond that, in terms of something like publishing a newspaper or a website for online, political information or something in Tallahassee, we've not looked into the publishing business. There has been a number of folks who have tried to do that and with very limited success and that’s probably outside our core competency. So we don't really want to trip over the risk of starting some other business we don't do anything about and forsake attention on the mothership that delivers and powers the ratings and returns like we announced today.
Jim Goss: I wasn't really thinking you'd become something else. I just thought that - Gray has traditionally had a pretty good emphasis on the digital aspect of the business, and I think has been a leader, especially from a small market standpoint. So I thought there could be some things along those lines. But the other question might be, do you have any interest in taking an advanced look at the 2016 political season, since we are starting to get a crowded slate already on the Republican side? And maybe some questions about what the Democratic side - are there any long-term prognostications you would like to build into our expectations?
Kevin Latek: I am in DC. This is Kevin, I’m in DC and I know a lot of time with folks in the political side, the campaign side and I haven’t found anybody who has any reasonable guess as to what the political spend will be in 2016 versus 2012 outside of everyone I know, so it’s going to be a lot more. We are not really going to hazard a guess when the experts who are buying the adds can see me give me a straight answer. We know it’s going to be more, we think 2012, we saw a lot of buying on the Democratic side earlier than ever before, the ‘14 elections, we saw I think both parties buying earlier than ever before and we expect that will certainly pick up in ‘16 as the states have moved more towards non-election day, but election windows and early voting and online voting and voting by mail. So election window has opened up and so the need to try to tar or paint or skew or spin or however you want to describe your message and your opponent's message becomes increasingly important. So what I would say from our standpoint is it seems that every day we look and we find another contested election in one of our markets and the presidential seems to be shaping up to be a free flow one side and maybe not a coordination on the other side. So I think we are very optimistic that 2016 will be better than 2012, but how much better is really beyond our ability to guess at this point.
Jim Goss: All right. Thanks so much.
Operator: And we have no additional questions in the queue at this time.
Hilton Howell: All right. Well, thank you so much operator and I'm going to thank everyone for joining us this morning and we look forward to talking to you next water. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. We thank you for your participation.